Operator: Welcome to the LGI Homes Second Quarter 2025 Conference Call. Today's call is being recorded, and a replay will be available on the company's website at www.lgihomes.com. After management's prepared comments, there will be an opportunity to ask questions. At this time, I'll turn the call over to Joshua Fattor, Executive Vice President of Investor Relations and Capital Markets.
Joshua D. Fattor: Thanks, and good afternoon. I'll remind listeners that this call contains forward-looking statements, including management's views on the company's business strategy, outlook, plans, objectives and guidance for future periods. Such statements reflect management's current expectations and involve assumptions and estimates that are subject to risks and uncertainties that could cause those expectations to prove to be incorrect. You should review our filings with the SEC for a discussion of the risks, uncertainties and other factors that could cause actual results to differ from those presented today. All forward-looking statements must be considered in light of those related risks and you shouldn't place undue reliance on such statements, which reflect management's current viewpoints and are not guarantees of future performance. On this call, we'll discuss non-GAAP financial measures that are not intended to be considered in isolation or as a substitute for financial information presented in accordance with GAAP. Reconciliations of non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP can be found in the press release we issued this morning and in our quarterly report on Form 10-Q for the quarter ended June 30, 2025, that we expect to file with the SEC later today. This filing will be accessible on the SEC's website and on the Investor Relations section of our website. I'm joined today by Eric Lipar, LGI Homes' Chief Executive Officer and Chairman of the Board; Charles Merdian, Chief Financial Officer and Treasurer. I'll now turn the call over to Eric.
Eric Thomas Lipar: Thanks, Josh. Good afternoon, and welcome to our second quarter earnings call. We delivered solid results last quarter despite a challenging market. While the desire for homeownership has proven resilience, elevated mortgage rates contributed to the affordability pressures weighing on entry-level buyers. Additionally, heightened economic uncertainty has created a softer sales environment, which buyers are still exploring the idea of home ownership, but are taking longer to make decisions and in some cases, choosing to delay their purchases. Despite these challenges, we remain confident in the long-term outlook for the housing market driven by strong demographic trends and a persistent structural shortage of homes, a shortage that is being compounded as more buyers delay the purchase of their first home. It was against this backdrop that we delivered 1,323 homes in the second quarter at an average sales price of $365,000, resulting in revenue of $484 million. Our financial results demonstrate our success in maintaining profitability by offering compelling but balanced financing incentives and offsetting their impact by raising prices in higher performing communities. These initiatives, along with the incremental profit captured on self-developed lots, enabled us to deliver an adjusted gross margin of 25.5%, up 190 basis points sequentially and at the high end of the guidance range provided on our last call. On the cost side, we've been focused on driving operating efficiency and improving cost discipline. Additionally, we made progress optimizing our advertising investments in concentrating dollars on the channels that generate the highest number of leads. These and other initiatives enabled the company to deliver a pretax net income margin of 8.7% and earnings per share of $1.36. We ended the second quarter with 146 active communities, a 14% increase over the prior year. During the second quarter, our top market on a closings per community basis were Atlanta with 6.8%, Nashville with 5.4%, Wilmington with 5.3%, Richmond with 4.7% and Charlotte with 4.5%, Congratulations to the teams in these markets on their strong performance last quarter. We're pleased with our second quarter performance and remain focused on continued improvement. Our teams across the country remain committed to converting leads and delivering an exceptional customer experience and we expect to see ongoing progress in the coming quarters. One final highlight. On May 15, we held our annual Service Impact Day. Nationwide, our teams volunteered more than 8,500 hours working with over 60 organizations around the country. We're grateful to our nonprofit partners for their indispensable work and for allowing us to contribute to their projects. We're equally proud of our employees whose generosity and community spirit made this year's Service Impact Day a success. With that, I'll invite Charles to provide additional details on our financial results.
Charles Michael Merdian: Thanks, Eric, and good afternoon. Revenue in the second quarter was $483.5 million based on 1,323 homes closed at an average sales price of $365,446. The 19.8% year-over-year decrease in revenue was driven by a 20.1% decline in home closings and was slightly offset by a 0.4% increase in our average sales price. The modest increase in our ASP was driven by geographic mix, partially offset by a higher percentage of wholesale closings in the second quarter. Of our total closings, 237 homes were sold through our wholesale channel, representing 17.9% of closings compared to 7.1% last year. Although demand has tapered recently, the wholesale channel continues to be a compelling way to balance our completed home inventory. Despite early indications that tariffs would negatively affect margins, their impact in the second quarter was minimal. Our second quarter gross margin was 22.9% compared to 21% in the prior quarter and 25% during the same period last year. Sequentially, gross margin dollars were up over 50%. The year-over-year decrease as a percentage of revenue was primarily due to a higher percentage of wholesale closings and to a lesser extent, higher lot costs and higher capitalized interest as a percentage of revenue as well as reduced operating leverage when compared to last year's performance. Adjusted gross margin was 25.5% compared to 23.6% in the prior quarter and 27% during the same period last year. Adjusted gross margin excluded $11.8 million of capitalized interest charged to cost of sales and $1 million related to purchase accounting together representing 260 basis points compared to 200 basis points last year. Combined selling, general and administrative expenses for the second quarter totaled $71 million or 14.7% of revenue. Selling expenses were $41.6 million or 8.6% of revenue compared with 8.8% in the same period last year. The decrease was primarily related to more efficient advertising spend. General and administrative expenses were $29.4 million or 6.1% of revenue compared to 5.1% in the same period last year. Pretax net income was $42 million or 8.7% of revenue, and our effective tax rate was 25% compared to 23.8% in the same period last year. For the quarter, we generated net income of $31.5 million or $1.36 per basic and diluted share. Gross orders in the second quarter were 1,620 and net orders were 1,091. Net orders declined sequentially, reflecting a muted demand environment throughout most of the second quarter. However, we are encouraged by more recent trends, notably in the back half of June and continuing into July, which point to an improving sales environment as we transition into the second half of the year. Our cancellation rate in the second quarter was 32.7% compared to 22.2% in the same period last year, reflecting the slower sequential sales pace during the quarter. We ended the second quarter with 808 homes in our backlog, representing $322.5 million in value. And of those homes, 91 or 11.3% of our total backlog were related to wholesale contracts with institutional buyers compared to 181 or 13% in the same period last year. Turning to our land position. At June 30, our portfolio consisted of 64,756 owned and controlled lots, a decrease of 7.4% year-over- year and 4.5% sequentially. Of those lots, 53,555 or 82.7% were owned and 11,201 lots or 17.3% were controlled. Of our owned lots, 37,374 were raw land or land under development, 22% of which were in active development that we expect to deliver over the next several years. The remaining 16,181 owned lots were finished. And of those finished lots, 12,145 were vacant and 4,036 were related to homes under construction. The total number of homes under construction was down 13.6% year-over-year and 4.4% sequentially as we continue to focus on rebalancing inventory in select markets to meet current sales trends. During the quarter, we started 1,135 homes and ended June with 1,512 homes in progress. We expect to continue to moderate starts in the coming quarters to align the current pace of sales, ensuring efficient inventory levels. I'll now turn the call over to Josh for a discussion of our capital position.
Joshua D. Fattor: Thanks, Charles. We ended the quarter with $1.7 billion of debt outstanding, including $662.6 million drawn on our revolver, resulting in a debt-to-capital ratio of 45.8% and a net debt-to-capital ratio of 45%. As inventory levels decreased and development spend trends down in the coming quarters, we expect to reduce our overall leverage. Total liquidity at the end of the quarter was $322.6 million, including $59.6 million of cash and $263 million available under our credit facility. During the quarter, we repurchased 367,568 shares of our common stock for $20.6 million and had $157.3 million remaining under our repurchase authorization. At June 30, our stockholders' equity was $2.1 billion, and our book value per share was $89.22, an increase of 9% compared to the same period last year. At this point, I'll turn the call back over to Eric.
Eric Thomas Lipar: Thanks, Josh. The softer demand conditions experienced throughout most of the second quarter materialized into weaker July closings than previously anticipated. Later today, we plan to issue a press release announcing that we closed 382 homes in the month of July across 143 active communities. As Charles noted, lead and order trends picked up near the end of June, driven by several new sales initiatives and July sales trended positively in the right direction. Turning to our outlook. Our [ spec-driven ] business model in today's environment make visibility into the fourth quarter a challenge. As a result, we're limiting our guidance to the third quarter at this time and intend to reintroduce annual guidance when market conditions stabilize. Based on our current backlog and view of the inventory available to close for Q3 2025, we expect to close between 1,100 and 1,300 homes at an ASP between $360,000 to $365,000 in approximately 145 communities. We expect a slight reduction in gross margins as we offer compelling incentives and additional discounts to move aged inventory. Therefore, third quarter gross margin is expected to range between 21.5% and 22.5% and adjusted gross margin between 24% and 25%. Finally, SG&A expense will range between 15% and 16%, and we expect our tax rate to be approximately 24.5%. I want to close by thanking all of our LGI Homes employees across the country. Your relentless focus on connecting directly with motivated buyers while sustaining our profitability was instrumental to our performance last quarter. I'm grateful for your continued dedication to our company and the customers we serve. We'll now open the call for questions.
Operator: [Operator Instructions] Our first question will come from Trevor Allinson of Wolfe Research.
Trevor Scott Allinson: First one just on pace and price. You guys have been very clear in the past talking about a need to get paid on the gross margin line and your gross margin was certainly better than we were anticipating in the quarter. At the same time, your absorption pace on orders fell to about 2.5%. The question is, is there a minimum absorption pace where it doesn't make sense for you guys to drop below that number, even in an inelastic market and you need to step on incentives a bit to maintain that certain level. What is that level for you guys?
Eric Thomas Lipar: Yes. Trevor, this is Eric. Thanks for the question. I think we analyzed it community by community across the United States. Certainly, orders in Q2 was not where we want them to be. We always want more pace, leading to our discussion on gross margin, we're forecasting slightly lower gross margin because we are leaning into incentives, especially on the older aged inventory. So it is a balance. And I think the other discussion on our gross margin is really capitalizing on all of our land development profit. We're in really good shape on our land positions, we feel. We have a lot of good value there. So even though we're incentivizing heavily and pushing pace as much as we can, we still think our gross margin should be elevated compared to our peer groups that are more asset-light.
Trevor Scott Allinson: Okay. That was really helpful. And then second question, you talked about some encouraging trends in late June and throughout July. Can you put some numbers around what you're seeing? And then what do you think is driving that improvement? Was it the decline in rates in late June? Or do you believe it's the actions that you guys are putting in place here to spur some additional demand that's improving your sales trends here?
Eric Thomas Lipar: Yes. Yes. Great question as well, Trevor. I think it's both. A better rate environment is certainly helping, especially last weekend, we saw a material drop in rates, the 10-year focused on and driving through to the mortgage rates. And also the team across the country is really doing a good job. We're really leaning into focusing on all of the digital leads that we receive and really following up those customers make sure we're focused on the customers that are inquiring because demand is still there and really shutting out a lot of the noise in the market. So I think those 2 in combination, increased incentives on older inventory really made it for a positive July. It's too early to tell. We haven't got everybody in July through loan application yet and got all the necessary approvals. We can't give specific numbers. I think that's also where we are on the guidance of 1,100 to 1,300 closings. The upside on that is going to come from a stronger July and a good start to sales in Q3.
Operator: And our next question will be coming from Mike Rehaut of JPMorgan.
Andrew Azzi: This is Andrew Azzi on for Mike. I just wanted to follow up a little bit on the June and July comment and kind of why you're encouraged that comment in the press release. It seems that sales pace would be relatively -- are there any community count dynamics because if you kind of take sales -- if you take community count flat to up a bit, it seems that sales pace is relatively stable at these levels or even down a bit. So I just want to see if you can expand on that.
Eric Thomas Lipar: Yes, Andrew, this is Eric. I think I got the question. You were breaking up a little bit, but more on the sales pace. And in July, again, the numbers are just showing is better than June. And second quarter sales and closing numbers certainly are not where we want them to be. So we are watching every community looking at incentives, looking at our aged inventory and the results were just better in July. The team gets a lot of credit for that. We've really leaned into our training, [ leaned ] into the leadership, the overall news around tariffs and some of the uncertainty, maybe that's abated a little bit. We're not exactly sure, but the demand is there and orders were better in July.
Andrew Azzi: I appreciate that. I guess one last one, the share repurchase was obviously nice to see. How do you expect that to trend for the rest of the year from these levels?
Joshua D. Fattor: You got Josh on the line. We're just kind of sticking to what we did during the quarter at this point. We have $157.3 million remaining, and it's just going to be something that's constantly on our radar. Right now, we're being honest. We're really focused on our overall leverage and debt outstanding. That's a priority for us right now. We came in right at the top end of the guidance range we provided in the past, about 35% to 45%. So that's really where we're going to be. We're going to be targeting our efforts at this point, but the share repurchases are always something that's on the table and the price is obviously at an extraordinary discount, which makes it very compelling.
Operator: And our next question will be coming from Kenneth Zener of Seaport.
Kenneth Robinson Zener: The question about pace, I think about pace as starts, given your focus on inventory units, which then you try to sell. It seems because 2Q orders, your starts were pretty moderate with a 2-handle. I'm not -- seasonality usually doesn't come into effect with you guys. But I mean, from a modeling perspective, can you see that running below 2, which I was looking back at your history, I'm not sure I've even seen it so low. But I mean, would you accept that running below 2, the pace?
Eric Thomas Lipar: Well, that's not what we expect, Ken. I mean, we wouldn't expect that. We would expect Q2 to be the low on orders per community and closings per community. But that being said, we never know what to expect. That's a little bit out of our control, but we would expect better results than that.
Kenneth Robinson Zener: Okay. I mean this is very helpful that you're commenting on this. And then closings starts. Where do you expect your kind of year-end inventory units to be relative to the prior year? Is that something that you could see kind of being flat or you're down about 14% in the quarter -- second quarter. Does that kind of tie off with how you're thinking your year-end count will be?
Charles Michael Merdian: Ken, this is Charles. Yes, I think we will start fewer homes than we closed in the third quarter. We'll evaluate kind of on a month- to-month basis on where we start houses based on the specific markets. We ended the quarter with about 2,300 completed homes, which is more than we typically would carry given our order pace. So we're focused on selling out of those completed homes, Eric had mentioned incentives on aged inventory that's going to help reduce the overall inventory levels down, and our target is between 6 and 7 months supply. We're a little heavy at the end of this quarter. So we would expect to kind of end the year at about 6 to 7 months based on 2026 expected closings is how we would think about it.
Kenneth Robinson Zener: Okay. And then I believe in the guidance, you guys were like 160 community count fiscal year in 1Q's guidance, and now you're giving 3Q is at 145. Am I tracking that correct?
Charles Michael Merdian: Correct.
Kenneth Robinson Zener: Does that -- I mean, were there a few -- it's logical to assume you're not going to pop up, but then there's always community timing, which can be very random. Is there any kind of structural change that we should infer between where guidance is for 3Q and where it was at 4Q?
Eric Thomas Lipar: No, no structural change, Ken, I think we're just focused on Q3 guidance because that gives us the biggest visibility. You mentioned it. There's always a lot of challenges with getting these new communities open from a timing standpoint and where our sales pace is at today. We're really analyzing whether we should open the community, possibly delay a community, which sales teams can be associated with the community. So we just got a lot better visibility into Q3 than Q4 at this time.
Kenneth Robinson Zener: Right. And I do think 1 quarter forward is the proper way to do it. So I'm happy to see that in the press release.
Operator: And our next question will be coming from Alex Rygiel of Texas Capital Securities.
Alex Rygiel: Can you talk a little bit about the sale of finished lots moving forward?
Eric Thomas Lipar: The sale of finished lots to other developers or other builders, Alex, is that the question?
Alex Rygiel: Yes. Yes. Should we expect the pace to be similar to the second quarter? Or do you see that increasing?
Charles Michael Merdian: Alex, this is Charles. I'll take it first. I think we were a little lighter in this quarter. I think our other income was pretty limited related to finished lot sales. We did close on a commercial track, which is in our quarter. This quarter, it's pretty volatile or unpredictable, I guess, is maybe the best way to explain it. We have certain lots in select communities that we've identified that we have excess finished lot inventory. So we are evaluating each one of those on a community-by-community basis. So not really a lot that we can give in terms of guidance in terms of how it may relate to profitability or cash flow generation, but it is something that we're working towards to make sure that, that is helping to evaluate our leverage balance and inventory balances overall.
Alex Rygiel: And then secondly, the cancellation rate in the quarter was a little on the high end. Can you talk about maybe what in particular impacted that in the current quarter? And if any actions have been taken to sort of diminish that?
Charles Michael Merdian: Yes, sure. Yes, I think I'd start with the cancellation rate can be fairly up and down depending on timing of where gross orders come in at. So we did have a declining gross order pace, which tends to inflate the cancellation rate when the trend turns. In other words, the cancellation rate tends to be a little bit lower when gross orders tend to accelerate. We also had a large wholesale contract that canceled. It was booked in the first quarter and then canceled in the second quarter, which was part of our first quarter backlog. So that had an impact on our overall cancellation rate. Without that cancellation, we would have been in the mid- to high 20s, which would have been more normalized.
Operator: And our next question will be coming from Jay McCanless of Wedbush.
Jay McCanless: I guess the first one, could you talk about where incentives are as a percentage of ASP now versus this time last year?
Eric Thomas Lipar: Yes, I think it's slightly higher, Jay. We can get those exact numbers for you because there's closing cost incentives, there's also price reductions. So I would say it's 50 to 100 basis points higher than last year is what it feels like operationally .
Jay McCanless: And then the second question I had, when we look at the 15% to 16% for SG&A, is that just less revenue leverage? Or are you guys increasing the amount of co-broker or other incentives that show up in the SG&A to get those specs sold?
Charles Michael Merdian: Yes, I can take this, Charles. I think coming off of 14.7% from this quarter, I mean, I think the high end of the guidance range for the quarter at 1,300 kind of puts us at a similar ratio. So just factoring the extra 100 basis points if we come in at the bottom end of the range.
Jay McCanless: And then I know you guys pulled the fiscal '25 guide, but I guess directionally, how are you all thinking about community count for the rest of this year and then to '26 since community count is a big piece of the revenue equation for you guys with your [ spec ] model?
Eric Thomas Lipar: Yes. I think, Jay, this is Eric. Directionally, it should be increasing. There's no question. I mean, the communities that we have guided to before are still there. It's just a question of timing, decision on spending capital to get those communities open, looking at the marketing and taking it month by month and quarter by quarter. So we're real comfortable at the end of Q3 ending up at approximately 145, but also growing community count into 2026.
Jay McCanless: Okay. And then the last one for me. Josh, you talked about doing some share repurchases this quarter, which is good to see, but also about debt reduction, I guess, what takes precedent? And where do you want the leverage ratio to be in the next couple of quarters?
Joshua D. Fattor: Yes. Jay, I think it's probably getting ahead of ourselves to say exactly where we want it to be. I'll say that delevering is absolutely a focus for us, right? We're coming in. We've always measured this right on a net debt to cap ratio. And so we really did just sort of nail it right on the [ notes ] at 45% at the high end of the 35% to 45% range. And so we'd like to get that a little bit lower as we rightsize our inventory to the current environment. Obviously, we started fewer homes than we closed this past quarter. So that's a strategy we will continue in the coming quarters as we rebalance that inventory. And I think the other stat I'd put in people's minds, and this might help you for every 500 units, we lower the inventory. That equates to about $100 million less than completed inventory. And so that's capital that we can allocate into either one of those strategies.
Operator: And our next question will be coming from Alex Barron of Housing Research Center.
Alex Barrón: Historically, you guys have had probably one of the highest margins and highest sales pace in the group. And right now, I guess, obviously, the environment is a bit weaker, but I'm kind of wondering how you guys are thinking about going forward? It seems like you're still emphasizing margins, but I'm wondering if you guys are reconsidering whether maybe going forward, it's more of a matter of having slightly lower margins to kind of pick up the pace? Or how are you guys thinking about it right now?
Eric Thomas Lipar: Yes. I think, Alex, it's a great question and consistent with a couple of other questions we have. But margins is we spent a lot of money on land developments, a lot of capital that we put into land development. And we believe in order to do that, you have to capture a respectable margin. And then it's all about pace. I mean the company is not focused on margin. Margin is a byproduct of being in the real estate business and you need to make an acceptable margin for the continuation of the business. But we are 100% focused on pace. I think the pace relative to historical averages is all around affordability. Our average sales price is a lot higher than it used to be. Taxes are higher, insurance is higher, the monthly payment is higher, rates are higher. And it's just a strain on affordability is what's driving the lower absorption pace. We're all dealing with it. Our particular buyer, which is probably at the lower end of the FHA spectrum and is currently paying rent, I think it's feeling the strain more than some of the other buyer segments and has been over the last couple of years, but we are 100% focused on pace.
Alex Barrón: Got it. And in terms of affordability, is there anything you guys are thinking of doing differently like maybe more attached housing or smaller square footage type houses or anything like that?
Eric Thomas Lipar: Absolutely. We're laser-focused on affordability. I think the 2 components that comes into play on is the incentives to drive that rates lower and prices as much as we can while protecting that margin that we need to make for the continuation of our business and then smaller square footages on the houses is something that we've employed over the last couple of years. We're looking at our land development opportunities, future sections, whether we can do more attached product, whether we can do smaller lot size to get that developed finished lot costs as low as we possibly can that leads into more housing affordability.
Operator: This concludes our Q&A session. I would now like to turn the call back to Eric for closing remarks.
Eric Thomas Lipar: Thank you, and thank you for participating in today's call and your continued interest in LGI Homes. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.